Operator: Good morning and good evening. First of all, thank you all for joining this conference call. And now we will begin the conference of the fiscal year 2014 Fourth Quarter Earnings Results by LG Display. This conference will start with a presentation, followed by a division of Q&A session. [Operator Instructions] Now we shall commence the presentation on the fiscal year 2014 fourth quarter earnings results by LG Display.
Hee Yeon Kim: Good morning everyone. Welcome to LG Display fourth quarter year 2014 conference call. My name is Hee Yeon Kim, Head of IR Division. I would like to welcome everyone to our quarterly earnings conference call. I am joined by our IR staff as well as representative from market intelligence. K.Y. Co [ph] is Head of Market Intelligence Division. Before we move on to the earnings results, please take a minute to review the disclaimer. I would like to review everyone that results are based on consolidated IFRS accounting standards and are unaudited. Next slide please. We have approximately one hour for this conference call. During the first part of the call, I would like to highlight our first quarter results, performance and Q1 outlook, which corresponded to the slides available on our website. Afterwards we will take questions. Please do not hesitate to contact us after the call if you have further questions. Moving on to revenue and profits on the next slide. Q4 revenue increased by 27% quarter on quarter, thanks to shipment increase, ASP improvement and favorable ForEx movement. Along with seasonal demand increase, we have witnessed continuous size migration trend towards larger-sized TVs. This led to tight supply and demand situation during Q4, and impacting positively on pricing. Also small and medium displays shipment increased as well due to new product launch and seasonal effect, resulting to a higher revenue portion in Q4 and blended ASP increase. Our operating profit was KRW626 billion, which increased by 32% quarter on quarter. Operating margin was 8% and EBITDA margin was 18%. Pretax profit was KRW488 billion and net profit was KRW389 billion. Moving on to Slide 4, looking at our financial position and ratios. At the end of Q4, total asset was KRW23 trillion, liability KRW11.2 trillion, and equity KRW11.8 trillion. Cash and cash equivalents increased by KRW52 billion, resulting in KRW2.4 trillion. Inventory increased slightly to KRW2.7 trillion from previous KRW2.6 trillion. Unit-based inventory level remains [inaudible] as our shipment increased by 4% while our capacity only increased by 2% during Q4. However, in line with our continuous focus to value-added products, we have seen a mix shift towards value-added products which have higher ASP but also higher costs as well. Preparation for China and OLED conversion fab as well as the later Chinese New Year holiday season this year also impacted in our yearend inventory increase, due to a time mismatching. But considering our demand forecast for Q1, we expect our inventory level to reduce naturally by the end of this quarter. Looking at our balance sheet, our balance sheet has improved during the Q4 [inaudible] equity ratio, current ratio and net debt to equity ratio all improved versus third quarter's, recording 95%, 122% and 60%, respectively, and remain in a healthy situation. Moving on to Slide 5, looking at our cash flow. Cash at the beginning of the third quarter was KRW2.4 trillion. Cash flow from operating activities resulted in cash inflow of KRW1.1 trillion, while cash flow from investing activities resulted in an outflow of KRW694 billion. With cash outflow from financing activities at KRW391 billion, our net change in cash flow was an inflow of KRW52 billion, resulting in cash at the end of the quarter with KRW2.4 trillion. Moving on to Slide 6, I would like to go over our performance highlights. In Q4, our shipment increased by 4%, resulting in 10.1 million square meters. Due to our continuous IT capacity conversion towards value-added products, our IT segment shipment decreased quarter on quarter. But we have seen a seasonal demand increase, especially for larger-sized TV panels and small and medium display new product launch during the peak season. Pricing showed a positive [inaudible] trend during Q4 due to capacity constraints, driven by limited capacity growth, while demand on area basis increasing continuously due to size migration trend. Also panel-makers' efficient [inaudible] mix operation based on profitability also helped the industry situation to remain healthy [inaudible] favored pricing trend along with the increasing portion of shipment in the small and medium panels which have relatively higher ASP per square meter, our blended ASP per square meter rose by 70% quarter on quarter to $773. Moving on to our product mix on Slide 7. Our TV business was 36% of our total revenue, followed by mobile applications 23%, tablet 19%, monitor 14%, and notebook 8%. The [inaudible] portion of the mobile and tablet increased by 4 percentage points and 7%, respectively, due to the increase in shipment of new products for the seasonal demand. On the other hand, due to continuous IT capacity reduction during year 2014, therefore the sales portion of monitor and notebook both declined in Q4. Moving on to Slide 8, and we're looking at our capacity. Our provisional capacity in Q4 increased by 2% quarter on quarter to 12.6 million square meters. This increase was due to our China fab full ramp-up effect during second half last year. Next, we turn to our outlook section. For the first quarter, we expect total area shipment in square meters to decrease by mid-single-digit percentage as we have entered the low season. However, we expect the degree of the seasonality to be milder than the previous years. Due to continuous larger size trend and favorable [inaudible] situation at the end of the last year, we cautiously believe the industry [inaudible] inventory situation, therefore, the seasonal inventory correction is expected to be somewhat mild this time. And also as we have been continuously reducing capacity for traditional IT segment last year, our IT [inaudible] will be fully loaded during Q1, regardless of the seasonal low trend, as we have lower capacity base for that division. As for pricing, our pricing is expected to stabilize while pricing for each segment and application may vary depending on its supply and demand situation. Let me conclude by saying that we are encouraged by the progress we have seen over the past quarters and during year 2014. Despite the difficult market environment, especially with our [inaudible] increasing [inaudible] business, we were able to post sequential improvement in our results through our differentiated value-added products based on our technology leadership as well as on efficient operational production strategy to proactively meet market demand. At the same time, we have been thoroughly preparing for our future with our OLED technology in both small and larger-size displays. For small displays, we have successfully started production for plastic OLED for design-flexible smartphone and [inaudible]. And in the TV segment, we expect to see meaningful enhancement in product lineups covering ultra-high definition, and customer base, through our efforts during last year. In this way, our value addition and future preparation, we are keeping a disciplined CapEx strategy. As a result, we have spent KRW3 trillion for CapEx in year 2014, which also decreased versus our original expectation at the beginning of our last year. By keeping the same strategy [inaudible] balance in between capacity growth versus financial [inaudible] continuously, we expect our CapEx for this year to see further decline Y-o-Y basis. Also [inaudible] efficient fab operation, within limited capacity growth, we have converted IT fab to [inaudible] facility and also changed our production mix to more profitability. We are encouraged that those actions has led to a favorable market situation last year, and we will continuously put our efforts to have a flexible and profitability-based fab operation, while limiting capacity growth going forward. Lastly, it means to provide shareholder value [inaudible] KRW500 per common share had been decided at the BOD meeting held on the 28th of January. And the decision will be finalized after the approval at the coming Annual General Meeting of Shareholders. By focusing on operational excellence in and risk management, as well as preparing our future with the differentiated products through our leading technology, we believe this strategy will lead us to a more reliable and value-creating company for our shareholders. Now we're off for Q&A session. We ask that you limit yourself to one question and one follow-up. Operator, may we have the first question please?
Operator: Now Q&A session will begin. [Operator Instructions] The first question will be provided by Nicolas Gaudois from UBS. Please go ahead, sir.
Nicolas Gaudois - UBS: Yes, good morning. Just two quick questions if I may. One is I guess, since you provided your outlook Wednesday in Seoul, Samsung made some comments on the large panel side of the industry, yesterday pointing to supply and demand risks in [inaudible] in their opinion coming from in particular the continuous ramp of capacity in China which, as you know, is pretty much staged [ph] throughout the year. And secondly, we heard, we see from both your captive customer, and Samsung itself margins on the TV business side have come down tremendously in both cases. So when you look at both, I guess if you could maybe refresh a little bit what you think or recap what you think in terms of outlook for large panel as we move into the second half of the year in particular whilst I think we all agree that the start of the year looks reasonably benign for now. And I've got a follow-up. Thank you.
Hee Yeon Kim: Your question is related to supply/demand situation in the TV and larger segmentation. Actually from last year, as you already witnessed, larger-sized TV, and especially for TV, had been growing, although the unit growth was not growing. In this kind of size migration [inaudible] gave us a chance to have a favorable price trend. We believe this kind of trend will be an ongoing issue. And also set-makers [ph] price pressure was always tough for us. Last year it was also tough. But thanks to the TV screen size migration trend, it gave us a chance to have a better position in terms of price negotiation. This time we also have a similar trend. That's our assumption.
Operator: The following question will be provided by Eric Lin from CIMB. Please go ahead, sir.
Eric Lin - CIMB: Hi, Hee Yeon and K.Y. [ph], good morning. My question, centering on OLED. If no further amorphous silicon capacity will be built, should we assume the total output of TV panel will decline going forward, if we continue to convert amorphous capacity for OLED?
Hee Yeon Kim: Our amorphous capacity, actually this year, as we already mentioned, we will convert [inaudible] facility into OLED at the end of this year. So net-net impact may be, in terms of Q4 this year versus last Q4, capacity was not growing -- was not growing. So based on this kind of assumption, unit growth will be limited.
Eric Lin - CIMB: I see. So in the future, after the 34K OLED investments, are we going to build new fab for additional OLED expansion in the future?
Hee Yeon Kim: In the future, the time horizon will be an issue. In the near future we will continuously convert the existing LCD facility into OLED. But in the longer future, if we are very successful to generate a profit from the OLED side, it might be. But it's not decided yet.
Eric Lin - CIMB: Okay. So can you give us some detail about the CapEx number for the 34K OLED in total?
Hee Yeon Kim: In total, it's not decided yet because in total it will be finalized at the end of this year. But the CapEx amount might be -- it's ranging around below KRW1.5 trillion.
Eric Lin - CIMB: That's for this year, right?
Hee Yeon Kim: No, no, total, cumulative basis. In terms of this year CapEx, as we highlighted, our CapEx will decline Y-o-Y basis. Among our CapEx, it's not finalized yet, but the mix of the CapEx maybe around 50% comes from the maintenance cost and 30% comes from the OLED, 20% may be future preparation.
Eric Lin - CIMB: I see. Thanks a lot. It's possible to ask one more question?
Hee Yeon Kim: Yes?
Eric Lin - CIMB: Well, considering that about 33% of equity are held by foreign institutions, would you consider to have English investor conference call simultaneously with the Korean conference call, or at least we can have them -- have the two events on the same day?
Hee Yeon Kim: Okay, let me consider about that. Thank you for your good opinion.
Eric Lin - CIMB: Thanks a lot. One more thing, on the [inaudible] cash flow part, what is the cash outflow of [inaudible]?
Hee Yeon Kim: The payment of our liability.
Eric Lin - CIMB: I see. Thanks a lot.
Hee Yeon Kim: Thank you.
Operator: The following question will be provided by Ben Lu from Moon Capital Management. Please go ahead, sir.
Ben Lu - Moon Capital Management: Hi. Thanks, Hee Yeon, for having this call. I almost forgot you guys actually reported two days ago. Very quickly, when you guys guided Q1 ASP stable, was that on a blended or a like-for-like basis?
Hee Yeon Kim: That's like-for-like basis. Blended ASP will decline as our mix will change. Actually small and medium-sized revenue mix should decline in Q1.
Ben Lu - Moon Capital Management: Okay. Thank you for clarifying. Now the other question is, can you talk a little bit -- or can you help us quantify the FX benefit to you guys on the P&L, both on gross margin or maybe operating margin, whichever is easier to you?
Hee Yeon Kim: Actually our net exposure of the U.S. dollar is around 50%. So if we have 1% or KRW10 movement, we might have 300 or 400 -- a KRW30 billion or a KRW40 billion impact for operating side in terms of quarterly basis. But also we have another flipside impact in the recurring profit side because we have KRW2.1 trillion -- $2.1 billion debt position. So, operating side impact and recurring side impact will be neutrally hedged [ph]. That's our FX structure.
Ben Lu - Moon Capital Management: Okay. So your OP in Q4 wasn't impacted by the FX move?
Hee Yeon Kim: In terms of OP, was impacted in a positive way. But in terms of recurring profit, we also have negative impact. It was offset each other.
Ben Lu - Moon Capital Management: Okay. So on your OP level, is there any way of quantifying how much of that KRW626 billion came from the FX benefit?
Hee Yeon Kim: It might be quantified 50% net exposure and FX movement was KRW50.
Ben Lu - Moon Capital Management: Okay.
Hee Yeon Kim: You can easily calculate the numbers.
Ben Lu - Moon Capital Management: Got it. The reason I was asking is, you know, can you help us understand what your gross margin was down 60 bps and your operating margin was only up 30 bps, despite sales being up 27% sequentially. I think you guys said at the Analyst Day that there's some one-time costs for some new projects. Maybe you can help us quantify that so we can better understand what is the core profitability of the business really.
Hee Yeon Kim: As I highlighted, in Q4 we have higher mix for high-end products. But that high-end product also have higher cost structure. But because of that, our OP improvement and GP improvement would be lower than your expectation.
Ben Lu - Moon Capital Management: Okay. The reason I was a little confused, because typically in Q4 you guys always see higher value-added [inaudible] small, midsized panels, but the sequential increase in margins was smaller than historical level. So I was just curious if there are any other one-time costs or expenses that we should be aware of in Q4.
Hee Yeon Kim: Actually larger-sized panel market such as TV, the supply/demand situation was very favorable. Margin generation would be much better than our average operating profit. The smaller and medium-sized, although it is high-end value-added product, as I highlighted, its cost also is very high. So, margin should be lower than our average margin. That should be our answer.
Ben Lu - Moon Capital Management: Got it, okay. And if I can ask one last question. Wanted to understand a little bit about how you guys think about the industry right now. I know -- I think Nicolas Gaudois earlier said that second half, you know, Samsung is a little bit cautious about potential over-supply, and I think you reported yesterday saying that there's slightly higher inventory in TV and IT in China ahead of the Chinese New Year holiday. Maybe if you can comment a little bit about your perspective on the industry. Thank you.
Unidentified Representative: I think that [inaudible] quite healthy level [inaudible] China [inaudible] the China inventory is a little bit higher than the normal season because of the preparation for the hot season in Chinese New Year. So I think that is [inaudible] based on [inaudible] is China investment [ph] level is up. Now it's [inaudible] it's a reasonable level.
Ben Lu - Moon Capital Management: Okay, great. Thank you so much.
Operator: The following question will be provided by Andrew Abrams from SCMR. Please go ahead, sir.
Andrew Abrams - SCMR: Hi. Thanks for taking the questions. I don't mean to harp on the OLED, but I've got a couple of questions there. Really on the status of your build-out, first, on the pilot line which if I remember correctly was 8K and you were adding 6K. Is that still on track and kind of what's the date at which you think that you'll get that line up to 14K? And then on the conversion of the larger line, the -- I would assume 15K would be your goal there. Do you have a timeline there that you guys are comfortable with as far as that goes?
Hee Yeon Kim: Yeah, [inaudible] for OLED was in line with our original expectation, 8K and then 6K at the end of last year, and another 20K we are expecting second half this year. That's all planned [ph].
Andrew Abrams - SCMR: So, the 8K plus 6K is already completed and the 20K is the line that's being built for this year?
Hee Yeon Kim: Yes. 8K and 6K is already completed. And then the remaining 20K will be added maybe in Q4 this year.
Andrew Abrams - SCMR: Okay, got it. And on the smartphone product line, are you expecting, and this is primarily for LG Electronics, are you expecting the bulk of that product line to have a flex capacity to it? Or is that still a relatively small part of what you're going to be producing on the smartphone panel side?
Hee Yeon Kim: I don't understand what you mean exactly. Your question is plastic OLED alone?
Andrew Abrams - SCMR: Right. And will there be -- or the relative amount of flexible smartphone panels versus LCD smartphone panels, that's what I was looking for.
Hee Yeon Kim: We have two kind of products for the plastic OLED. One is for smartphone and one is the wearables space.
Andrew Abrams - SCMR: Okay. And if you look at your overall smartphone panels, not just OLED, but LCD also, what percentage of all of your total smartphone panels, LCD and OLED, would be OLED and flexible?
Hee Yeon Kim: The flexible OLED for smartphone is not that big. It is just single-digit percentage.
Andrew Abrams - SCMR: Okay, that's what I was looking for. And that is -- is that flexible line up and running at full capacity now, that's producing the flex smartphone line?
Hee Yeon Kim: Unfortunately, it's not fully loaded at this point.
Andrew Abrams - SCMR: Got it. Okay. Thank you very much for the answers. Appreciate it.
Operator: The following question will be provided by Rob Stone from Cowen. Please go ahead, sir.
Rob Stone - Cowen & Co.: Hi. Thanks for taking my question. I had a couple of questions on OLED TV. Do you have a view on how many units of OLED TVs you expect to produce, TV panels, you expect to produce and ship this year?
Hee Yeon Kim: This year it's expected to be 600,000 units.
Rob Stone - Cowen & Co.: And that would equate to what capacity utilization for you over the year on average?
Hee Yeon Kim: Actually it's the equation of utilization ratio issue, it's the function of utilization ratio and [inaudible] ratio and sales mix. So the sales mix will be [inaudible] for us. Until last year we only delivered KRW55 billion [ph]. That's [inaudible]. But this year we start to provide 65 and 77-inch [inaudible].
Rob Stone - Cowen & Co.: Could you comment on your pricing strategy for OLED TV? I've seen some reports that suggest that the market penetration for OLED TV is small because the prices are high. I have the impression that prices are high because the quality is superior and there's not that many units available. So, any comments you have would be very helpful. Thanks.
Hee Yeon Kim: Yes. When you look at our capacity and production -- production capacity for TV OLED, we only have 14K for now. And then we will have 34K at the end of this year. And also we announced our target shipment to 600,000 units. It is just 2.3% for total TV market demand. It means we have to target ultra-high-end market, so price point will be very strategic because we are targeting ultra-high-end market.
Rob Stone - Cowen & Co.: Great. My follow-on question, if I may, is, with respect to flexible OLEDs on plastic, can you comment about your capacity plans for that type of mobile display?
Hee Yeon Kim: We have 14K based on Gen 4.5 generation.
Rob Stone - Cowen & Co.: Great. Thank you very much.
Operator: The following question will be provided by Nam Hyung Kim from Arete Research. Please go ahead, sir.
Nam Hyung Kim - Arete Research: Well, thank you. Sorry, one more OLED question. Can you give us update on recent accident in E1 fab, your Gen 8 OLED fab, when you think that can resume its operation? The local Korean newspapers say it may take two months. So, is this going to affect your plan on 600,000 OLED panel production this year? Any update on this would be great.
Hee Yeon Kim: In advance, we are really sorry about that kind of accident. Actually related to that accident, the production staff [ph] was already relieved, and we will start our production actually today. So the impact of the -- our East [ph] factory will be minimalized in terms of production capability. But anyway, we will strengthen our safety issue going forward.
Nam Hyung Kim - Arete Research: Okay, thank you.
Operator: The next question will be provided by Nicolas Gaudois from UBS. Please go ahead, sir.
Nicolas Gaudois - UBS: Yes. Hi, I'm sorry, I was on mute for my follow-up. So for -- if we look at your CapEx, you just [inaudible] for us for 2015, how much of that actually would be for the contribution of ramp in Gansu fab through which 90,000 ships per month, or is that effectively done and we shouldn't really expect any new CapEx allocation and therefore further capacity ramp as well for the China fab in 2015? Thank you.
Hee Yeon Kim: For the China fab and LCD side, it was done mostly last year, so the [inaudible] for this year it is below 20% -- below 20%.
Nicolas Gaudois - UBS: Okay. So when you said future preparation, that was LCD in China basically, essentially?
Hee Yeon Kim: Partially.
Nicolas Gaudois - UBS: Partially. Great. Thank you very much.
Operator: The following question will be provided by Gene Lewis from SGJA. Please go ahead, sir.
Jean-Louis Lafayeedney - Societe Generale Ji Asia: Yes, thank you. It's Jean-Louis here from Societe Generale Ji Asia. Just two very quick questions. One, I just need to clarify one thing. Your Guangzhou joint venture plant, is that 90K shipped per month or is that 120K shipped per month, as I have heard from the Chinese end?
Hee Yeon Kim: Yes. It is planned 120K per month, but -- at the end of last year it was 60K, but it will be setting up 90K in the middle of this first half.
Jean-Louis Lafayeedney - Societe Generale Ji Asia: So, 120 by when?
Hee Yeon Kim: It's not decided yet. It will be depending on market demand situation.
Jean-Louis Lafayeedney - Societe Generale Ji Asia: Okay. And just a quick follow-up please on OLED. If you achieve your target of 600K units for TVs this year, does that mean that by Q4 we may see profitability in the OLED business, assuming the yield and the pricing is as you expect?
Hee Yeon Kim: Actually in Q4 we will be fully ramp up of our third major OLED facility, so we are expecting we can -- we hope we can make money [ph] maybe in year 2016.
Jean-Louis Lafayeedney - Societe Generale Ji Asia: Okay. Thank you very much.
Operator: The following question will be provided by Jerry Tsai from HSBC. Please go ahead, sir.
Jerry Tsai - HSBC: Hi. Thank you. Thank you for taking my call. You just mentioned back in the fourth quarter the cost structure for your high value-add products or the small size displays are high. I'm just wondering, do you see any room for improvement to perhaps improve the margin in those segment? And if so, then, when do you think it will happen?
Hee Yeon Kim: [Inaudible] question if our volume scale or [inaudible] definitely our margin should improve, naturally. But unfortunately, in first quarter, volume contraction will be a seasonal pattern, so it's very difficult to mention margin improvement sequentially.
Jerry Tsai - HSBC: Okay. So I understand, okay. Perhaps [inaudible] do you expect the metal oxide to be a more meaningful contributor in terms of the revenue this year? If so, then what kind of product could be adopting that, this kind of technology?
Hee Yeon Kim: Oxide is very critical product for us, especially for OLED side. But in terms of the LCD side, it is very negligible for us.
Unidentified Representative: Hi. I'd add some comments, is that we have some opportunity in notebook side, tablet side, and then high-end [inaudible] notebook side. So there is -- we are still actively [inaudible] higher-end margin product.
Jerry Tsai - HSBC: Okay. Thank you.
Operator: The following question will be provided by Eric Lin from CIMB. Please go ahead, sir.
Eric Lin - CIMB: It's me again. Hee Yeon, would you give us some more detail about the agreement with Universal Display? I think that agreement cover two parts, one is licensing, the other is material purchasing. We didn't see too much detail revealed in the announcement on Universal Display. Maybe you can give us some more detail about that and the rationale for the agreement.
Hee Yeon Kim: Please understand we cannot announce in detail. Anyway, the most important thing is we did strategic alliance each other. And stable procurement and strategic development for future material is more important for us, to strengthening our ecosystem.
Eric Lin - CIMB: So are you going to pay certain percentage of royalty to Universal Display for the OLED panel production in the future?
Hee Yeon Kim: For the Universal Display agreement, we cannot mention about that. Anyway, as I mentioned, the strategic alliance give us a big opportunity to strengthen our ecosystem. Please understand.
Eric Lin - CIMB: Okay, understood. Just one housekeeping question. What would be the depreciation cost we have to factor in for first quarter? And any non-op items we may expect in first quarter?
Hee Yeon Kim: First quarter depreciation expense is expected to decline KRW10 billion or KRW15 billion further.
Eric Lin - CIMB: What about non-op, any further write-off, equipment and inventory?
Hee Yeon Kim: No, there's no further write-off.
Eric Lin - CIMB: Okay. Thanks a lot.
Operator: The following question will be provided by Ben Lu from Moon Capital Management. Please go ahead, sir.
Ben Lu - Moon Capital Management: Hi, Hee Yeon. Thank you for letting me ask a follow-up. I just wanted to go back to my FX question. I think on Wednesday you're going to talk about FX has helped your OP by KRW200 billion in the quarter, which meant that you [inaudible] from your KRW626 billion that you reported, your OP on a constant currency basis would have been KRW426 billion, was sort of giving you a 5.1% operating margin, which is down almost 2 points Q-on-Q despite a 27% increase in revenues. I know you obviously said there was mix changes in terms of the small size, et cetera. But I'm a little surprised by how much your margin fell sequentially on a constant currency basis. So, can you just walk me through a little bit about what exactly is the profitability of your small, midsized business? Is it -- I know you talked about higher cost, but it just seems like the decline in your OP and your margin seems a little bit more than I would have thought. I continuously highlighted, yes, there's a favorable FX impact, so that amount would be significant for us, and also all the Korean manufacturers. And this kind of FX improvement, our operating margin is a bit lower than your expectation. There's lots of reasons. One biggest reason, as I already highlighted, our mix structure. Our high-end product, small and medium-sized high-end product margin was lower than our average margin. That's the biggest reason. And also we have -- accelerating our expense reflection [ph] to make our asset soundness [ph]. They should be hard [ph] for us to understand this kind of situation.
Ben Lu - Moon Capital Management: Got it. Okay. All right. Thank you so much for clarifying.
Operator: Currently there are no participants with questions. [Operator Instructions] The following question will be provided by Claire Kyung Min from Daishin Securities. Please go ahead, sir.
Claire Kyung Min Kim - Daishin Securities: Thank you for taking my question. I just joined this conference call a few minutes ago, so my question might be a little bit redundant. How long do you expect to see a strong flat price movement of TV panels in the first half of this year?
Hee Yeon Kim: We hope this kind of favorable situation would be a longer issue for the whole year. But it's a bit early to mention about it. Anyway, reason for the favorable price trend was same, the biggest -- bigger screen demand increase from set-makers and from consumer side. So we hope this kind of trend to be sustained over this year.
Claire Kyung Min Kim - Daishin Securities: Do you mean that at least by the second quarter of this year as well?
Hee Yeon Kim: We think that kind of comment is [inaudible].
Claire Kyung Min Kim - Daishin Securities: Okay, thank you.
Hee Yeon Kim: I mean we hope this kind of trend should be sustainable.
Claire Kyung Min Kim - Daishin Securities: Okay. Thank you. Great.
Operator: The following question will be provided by Jerry Tsai from HSBC. Please go ahead, sir.
Jerry Tsai - HSBC: Sure. Thank you. As a follow-up to Claire's question, just wondering, for your outlook for the entire industry, I think you mentioned about something like a high-single-digit growth in terms of the total area [ph] demand. I was just wondering, can you break it down for us by -- in terms of unit or size growth?
Unidentified Representative: Yeah. So [inaudible] as you commented, high single digit growth on area base, so, most of [inaudible] area-based growth driven by TV. So, TV is, yeah, TV is high single, but mostly IT area is flat, almost flat [inaudible] increased potential in monitor side. The other one is the smartphone is [inaudible] proposition is increasing. That will be [inaudible] area-based growth this year.
Jerry Tsai - HSBC: I'm sorry. What kind of size migration are you assuming for this high-single-digit growth?
Unidentified Representative: So for example, for TV, for example, and then 2013 in China market itself is [inaudible] proposition is 43%, only 15% of [inaudible] portion, but 2015 we expect 50 inches size [inaudible] almost 30% [ph], almost double that in 2013. That is [inaudible] China and [inaudible] bigger sized screen TV demand will drive, and then [inaudible] area-based growth in this year.
Jerry Tsai - HSBC: Okay. So, do you -- other than China and U.S., do you also see the size migration maybe taking place in emerging markets as well?
Unidentified Representative: Yeah, I think so. Emerging market also [inaudible] India or Southeast Asia [inaudible] almost go on. And then [inaudible] those area size, under 32 and then over 32 [inaudible] area-based growth [inaudible] and then Latin America the demand [inaudible] very strong for area-based growth.
Jerry Tsai - HSBC: What is the mean screen size for these emerging markets and what do you think they could be in the next year or two?
Unidentified Representative: Okay. Emerging market is -- two kinds of emerging. India is one of the biggest markets in Asia. Those markets is, until last year, 70% to 80%, the demand was under 32 inches. But now it's migrated [inaudible] increase. So and then, those [inaudible] 50% to 60%, over 32 inches position will be increased [inaudible] 40%.
Jerry Tsai - HSBC: Okay. That's very helpful. Thank you.
Operator: Currently there are no participants with questions. We'll wait for a second until there is another question.